Operator: Hello, ladies and gentlemen. Thank you for standing by for 51Talk Online Educational Group's Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's conference call is being recorded. I would now like to turn the call over to your host, Mr. David, Investor Relations for the company. Please go ahead, David.
David Chung: Thank you, Anita. Hello, everyone, and welcome to the fourth quarter 2022 earnings conference call for 51Talk. The company's results were issued via newswire services earlier today and are posted online. You can download the earnings press release and sign up for the company's distribution list by visiting the IR section of our website at 51talk.com. Mr. Jack Huang, our CEO; and Ms. Cindy Tang, our CFO, will begin with some prepared remarks. Following the prepared remarks, there will be a Q&A session. Before we continue, please note that the discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's Form 20-F and other public filings as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required under the applicable law. Please also note that earnings press release and this conference call include discussion of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. 51Talk's press release contains a reconciliation of the unaudited non-GAAP measures to the audited most directly comparable GAAP measures. I will now turn the call over to our CEO, Jack Huang. Jack, please go ahead.
Jack Huang: Okay. Thank you, David. Hello, everyone. Thank you for joining our conference call today. On September 30, our Board approved our legal name change to 51Talk Online Education Group. This signifies our new journey and the current focus on the Asian markets and beyond from our headquarters in Singapore. In fact, since starting the international business in the second half of 2021, we derive revenues from over 50 markets as of now. As we continue to invest in localization in markets where we see a good population of middle-class families who value education, we expect further penetration into specific markets as well as the identification of new markets to drive growth in the short and the medium term. Based on the feedback from our customers, we believe we have a price competitive product with a best-in-class value proposition. We believe our students learn more than less and are more motivated and enjoy classes more than students of competitor products. Specifically, our one-on-one live circular classes taught by well-trained Filipino tutors is a unique proposition in the market. Unlike many of our local competitors, we are working on a much larger and proven technology infrastructure, which gives us significant capacity to grow. In terms of technology, we believe AI-powered tutors will transform online education. The combination of tutor and AI will significantly improve user experience and greatly promote personalized education, specifically, adaptive learning or the creation of personalized teaching content and the provision of customized teaching tools for teachers and customized lesson feedback based on students learning situations, among others. We have already begun integrating ChatGPT into our product and operations and continue to strategically build around our vision of personalized education. Finally, we have continued the trend of positive operating cash flow since May through the third and the fourth quarter, which reflects the strong execution of our sustainable growth strategy.  With that, I will now turn the call over to our CFO, Cindy.
Cindy Tang: Thank you, Jack. The momentum of our business continues into Q4 as net revenues were $5.1 million, representing 10% sequential growth. Gross margin for the fourth quarter was 79.0%. Gross billings was $7.5 million, and we will continue on our pathway of sustainable growth and a focus on delivering strong value proposition to our students in the development of the international markets. Q4 operating expenses were $6.2 million, flattish compared to the last quarter. Specifically, this has been driven by Q4 sales and marketing expenses of $4.0 million, a 7% sequential increase from Q3 due to increased branding and localization investments, such as increased local marketing and operations personnel and localized marketing efforts. Q4 product development expenses were $0.4 million, a 31% sequential decrease due to a reduction in research and development projects. Finally, Q4 general and administrative expenses were $1.7 million, a 5% sequential decrease compared to Q3. Overall, Q4 operating loss was $2.2 million, while net loss was $2.0 million, a 29% sequential decrease from Q3. And in March, the second consecutive quarter in which the company has managed to decrease net loss. Q4 GAAP and non-GAAP earning per ADS were both negative $0.36 and $0.34, respectively. The company's total cash, cash equivalents and time deposits were $23.1 million at the end of the fourth quarter. Advances from students were $15.2 million at the end of the fourth quarter. For more of our 2022 full year financial results, please refer to our earnings press release for further details. Looking forward to the first quarter of 2023, we currently expect the net gross billings to be between $8.0 million and $8.2 million. The above outlook is based on our current market conditions and reflects the company's current and preliminary estimates of the market and operating conditions and customer demand, which are all subject to change. This concludes our prepared remarks. We will now open the line for questions. Operator, please go ahead.
Operator:
David Chung: Okay. Thank you. So thank you once again for joining us today. If anyone has further questions, please contact 51Talk's Investor Relations for the contact information provided on our website. Thank you.
Operator: This concludes this conference call. You may now disconnect your lines. Thank you.